Claus Sauter - CEO:
Olaf Tröber - CFO:
Unidentified Company Representative : Good afternoon, everybody, and a warm welcome to the Verbio Earnings Call for the Third Quarter of the Fiscal Year 2024-2025. Today's speakers are Claus Sauter, CEO of Verbio, and Olaf Tröber, CFO of the company. They will walk us through the company's performance for the first nine months, touching on key milestones and market trends. Before we dive in, a quick housekeeping note. The conference is being recorded and all participants are in a listen-only mode. If you have questions, please submit them using the chat box and we'll address your questions in the Q&A session. Please make sure to preface each question with your name and the name of your company in order to be considered. The equity analyst joining the call can also ask a question directly via the microphone. Please type the word question into the chat box to be considered and we will open your line at the beginning of the Q&A session. And without further ado, I hand it over to Mr. Sauter and Mr. Tröber, the floor is yours.
Claus Sauter: Thank you very much for the introduction, Harry. So, good afternoon, everyone, and thanks for joining us for our third quarter, 2024-2025 and nine-month earnings call. I'm here today on the call with Olaf Tröber, our CFO. As you know, we are proud of our operational flexibility, integrated platform, and propriety bio-refining know-how. These capabilities have consistently delivered industry-leading returns across market cycles. They also give us real agility in challenging environments. We can shift priorities fairly quickly and reallocate resources strategically, focusing on innovation, high-growth segments, and value-accredited opportunities. As outlined in our last earnings call, we have reprioritized investment and focused on free cash flow growth. This will become more evident in the coming quarters. Saying that, I'd like to turn it over to Olaf to take us through our financials, first nine months in brief, and then the Q3 figures in a bit more detail. And then I'll be back with the outlook and finally with the Q&A. So, Olaf, it's yours.
Olaf Tröber: Thanks, Claus, and good afternoon, everyone. I will begin with a summary of the first nine months of '24-'25. As always, operational production was good. Biodiesel production declined slightly due to commercial factors in Canada, which I will discuss in greater detail in a minute. For ethanol and renewable natural gas or Biomethane, we again reported record production volumes. The year-over-year increase in ethanol volumes, the light green bars in the chart on the far left, was driven by efficiency gains in Europe, especially in Europe, and further de-bottlenecking at a plant in South Bend in the U.S. Our renewable natural gas production volumes also increased, thanks to better utilization at our plants in Nevada and India. Yet, our EBITDA declined to €22 million euro from €82 million euro in the same period last year. This was primarily due to the weak first quarter of '24-'25 compared to the strong first quarter '23-'24. The first half of 2023-2024 was still supported by strong fixed greenhouse gas premiums under existing contracts and therefore setting a high bar for year-over-year comparison, especially in the current challenging environment. Our net debt at the end of March stood at €154 million as we continued to invest in our key projects. These include mainly our plan for specialty chemicals in Germany and our ethanol plant in South Bend in the U.S. Capital expenditure totaled €30 million in the third quarter and an aggregate of €91.5 million for the first nine months of 2024-2025. Well, worth to mention, at this time in the previous year, we had already invested close to €130 million. Our investments are being actively reduced with a clear further decline to follow by the focus on improving our operating cash flow, as Claus mentioned before. The equity ratio was around 63%. And then, with that I will now turn to Q3. In Q3, we improved EBITDA year-over-year to €8.2 million from €7.3 million, thanks to developments in the biodiesel segment and the segment other. The latter was our trading activities with the reported EBITDA of €5.4 million. It contributed meaningfully to our result. Quarter over quarter, the biodiesel segment lost some momentum as we had capitalized on increasing biodiesel prices, thanks to favorable rapeseed oil purchases in our second quarter. As you will see in a minute, biodiesel prices have traded sideways since, while our rapeseed oil purchases prices naturally had to come up. Given the broader market conditions, the result is quite solid in comparison. In the bioethanol segment, we were able to further increase the EBITDA over the course of the year. Tragedy] that should continue into Q4, especially as thriving season is coming up in the U.S. and we continue to ramp up production. Then, let me now give you a bit more color on the individual year-over-year performance of the segment. The production and sales performance of the biodiesel segment in the third quarter of 2024-2025 reflects the reduced production and sales volumes in Welland, Canada. Production came down as planned due to the difficult market environment, resulting from regulatory changes in the U.S. We have ramped up the plant in March this year again, thanks to the attractiveness of our location in Canada. Purchase and sales contracts now guarantee a cross-margin. Despite this, we were able to increase our EBITDA in the segment, reaching €16.8 million, following €11.4 million in the third quarter of 2023-2024. Q3 2023-2024 included a non-recurring negative contribution to earnings from commodity futures. Now, turning to the reference charts, these show how biodiesel spreads have evolved. The spreads here refer to the difference between the biodiesel price and the rapeseed oil price. While the charts don't reflect our sourcing strategy, they still provide a useful snapshot of broader market trends. As we mentioned back in February, rapeseed oil prices have come down a bit from their peak and have stayed pretty stable since then. At the same time, biodiesel prices haven't really bounced back yet, mostly because demand is still low and mileage hasn't peaked up. Therefore, spreads have stayed flat. But we now see production of competitors are coming down, which is actually a good sign. It shows the market is starting to adjust and that should support prices going forward. In the Bioethanol and Biomethane segment, we set new production records for Bioethanol and Biomethane in the third quarter of 2024-2025, confirming our performance gains. This can be seen in the left chart, the bar on the right highlights this trend. Despite the increase in production sales volumes, revenue fell to €181 million in Q3 2024-2025 from 188 million euro in Q3 2023-2024. This is because revenue from physical trading contracts was recorded in last year's third quarter and then corrected in the fourth quarter. The decrease in EBITDA of €8.8 million is due in part to the challenging Biomethane and greenhouse gas quota business. Also, in the same quarter last year, there was a one-off negative impact from commodity futures and the changes in financial asset value. Meanwhile, the startup costs of our growth projects remain the main driver of the negative result in the segment. Let's take a look at the reference graphs. They show how ethanol market spreads have developed. As a biodiesel, they don't reflect our exact purchasing or feedstock strategy, but they give us a useful view on the broader market. During our third quarter, ethanol demand in Europe held up well, but despite that, ethanol prices didn't rise much, largely because production and imports stayed high. At the same time, wheat prices didn't come down significantly, which kept margins under pressure. So overall spreads were tight. In the U.S., the ethanol market faced typical seasonal weakness in the first quarter. High production and elevated inventories were the main drivers. Looking ahead, there are encouraging signs. Ethanol margins are showing improvement as we move into the second and third quarters. This outlook is supported by several key factors. Stronger fundamentals for corn oil, reduced ethanol stock levels following seasonal maintenance, higher blending demand, which is typical for this time of the year. And last but not least a solid start to the corn planting season Now turning to our guidance, our guidance which was updated in January for the current financial year remains unchanged at the mid double-digit million-euro range. As of now we do expect to come in at the lower end of the EBITDA guidance due to the current week margin environment. The lower end does anticipate a slight recovery and spreads which currently is the most realistic scenario Our low marginal costs act as a soft price floor Allowing continued production even at lower prices. In contrast, higher cost competitors have already started to reduce output or idle plants, which should eventually lead to a tightening of supply and support price recovery. Meanwhile our expectation for net financial debt at the end of the financial year remains unchanged at a maximum of €190 million. As I've mentioned earlier our free cash flow should be breakeven or positive during our fourth quarter. Now let me hand over to Claus, who will give you a bit of a broader outlook.
Unidentified Company Representative : I am sorry. I just have to jump in Mr. Sauter seems to have some technical issues, but he is back, can't see him yet, but maybe you can hear him already. Mr. Sauter? Again, Mr. Sauter, can we hear you again?
Claus Sauter: I can hear you, can you hear me?
Unidentified Company Representative : Yes, we can hear you can't see you.
Claus Sauter : You don't have to see me. But you can hear me, yes I have some technical problems I felt out. Okay. All right. Okay, then it's okay if you can hear me, so Olaf, thank you very much. So let me start now with an update on the greenhouse gas quota price development. In April we saw a clear increase in transaction activities and with it a slight rise in greenhouse gas quota prices. There was an event that Some HVO product coming into Europe was blocked by BLE, so that led to a slight increase and it shows that now the regulator is looking more in detail on what is really heading into Europe. But while this price movement is still modest it hints a growing stability and renewed interest across the market. So in the short term higher blending costs on the back of cheap oil prices are expected to support demand. Looking ahead, we believe the recovery will gain momentum especially as supply and demand begin to rebalance more sustainably as we outlined in our last earnings call. But to ensure this recovery is lasting the right policy framework is critical. So we achieved already, let's say some effects the new agreement, so the coalition agreement already lists. Several key measures that point in the right direction, a gradual increase in the greenhouse gas quota related to the implementation of the RED III, stricter drought prevention and better control on imports. These steps are vital to restoring fairness transparency and trust into the market. But let me clear, let me be clear to move from recovery to long-term growth we now need decisive political action. The industry depends on stable regulatory conditions and long-term planning certainty. So therefore I'm very positive that we have now a new minister of environment who knows the situation around the biofuel industry, who knows the situation in East Germany, who knows the situation especially in the PCK refinery where our flagship is located. But now turning to the other side of the Atlantic let's talk about our Nevada project the first integrated RNG ethanol plant in the U.S. So the Nevada ramp up continues to be a key priority for us for Verbio over the past weeks and over the winter time the plant has reached new peak levels in production on several occasions. The progress we've seen clearly confirms the strong performance capabilities of the underlying technology. We are ramping up gradually keeping process stability and reliable output growth at the forefront. So RNG production is already running at 30 to 40 megawatt. Looking ahead, we are planning with continuous production in summer 2025, so not yet at full capacity. So right now short-term performance is influenced by the EU market distortions and the ongoing plant ramp up which simply takes time to fully deliver. In parallel we are actively shaping our future through strategic investment choices and cost measures. These actions are designed to strengthen our long-term competitiveness, while also impacting near-term financial especially CapEx. As shown on the screen CapEx have been significantly scaled back, declining from over €250 million at their peak to less than a €100 million by 2025-2026. The plant build-out for specialty chemicals continues at full speed and we have just recently put out the press release on the achievement of a further construction milestone. Meanwhile the investments at South Bend Ethanol to transfer the plant into a state-of-the-art facility that combines the production of ethanol with RNG will be phased. We will take each construction phase one by one with a clear focus on our cash flows. The investments into CNG and LNG gas station network will be finalized this financial year and with this we are expecting to capture the rent in the value chain of biomethane. Opportunistic growth initiatives are paused, while we continue to evaluate a partnership with Gail in India. Gail is the transnational grid operator of the CNG pipeline. Now the next logical step is organizational alignment. We are reshaping our structure to reflect those priorities and ensure that every part of the organization is moving in the same direction. This unfortunately goes hand in hand with workforce streamlining. We already had our town halls today cost savings from reduction in positions in the mid-single digit euro million range per annum should come into realization in later months. So we are reducing our workforce. In light of recent developments in trade policy. We are actively monitoring how these changes may impact our operations and strategy moving forward. Based on various sources our current assessment at Verbio is that the direct impact of these measures on the company is expected to be fairly limited, in fact our local market integration is a key advantage. I think what is worth to be mentioned is the first deal between the U.S. and UK on the reduction on tariffs, one of the top actions was that UK is opening their biofuel market for U.S. ethanol. So I think this development is quite interesting, everybody knows that the U.S. has the cheapest ethanol in the world. And honestly we expected some movement in this direction. So we think in further discussions with China with Japan with India with Brazil and even with the EU, the U.S. will focus on getting access with agriculture products like ethanol for these markets and following that logic the fact that Verbio is also engaged in the U.S. market. We expect better margins in the U.S. business because as I said the cheapest ethanol in the world is produced in the United States. They are highly competitive and once the markets are open in other countries for U.S. ethanol, we will see a significant improve in the margin situation in the United States. So let me also mention at this point that we keep our dollar holdings at a minimum level to avoid any unnecessary exposure. So with that now, let's open it up to the Q&A session. Harry, go ahead.
A - Unidentified Company Representative: I will thank you so far for the insights and we will now continue with the Q&A session. We'll start with the equity analyst who can ask a question directly via the microphone, please type what question into the chat box to be considered and we will open your line. To support the technical process, please follow on the instruction on the slide that this is now available. All other participants please submit your question via the chat function and make sure to state your name and company name and we'll try to cover as many as possible in the time we have. So let's dive in and let's have a look for the first question. Until now there is no question from the line from [Indiscernible]. Can you quantify startup cost in the U.S.? What is the expected FTA contribution in the U.S. in the financial year 2024-2025? And is an improvement in the magnitude of the mid-double-digit euro million amount a reasonable assumption for the full years in 2024-2026 for the 2024-2025.
Claus Sauter: Okay. So, what is the expected EBITDA contribution in 2024-2025? Olaf, can you take the lead here?
Olaf Tröber: Yes. For the current financial year, we will most likely come in at approximately minus $25 million which actually covers both plans Nevada and South Bend with but only a fraction for South Bend. So yes, it's actually the figure and of course with the increase in production as you can see already from the charts and the figures South Bend will come in next financial year most likely with a black zero or a single-digit positive EBITDA and a slight negative EBITDA for the Nevada facility. What you have to consider is that you still face the ramp-up phases. Ethanol plant should have a capacity utilization of approximately 80% where you start really to earn money. Then we come in into the driving season starting more or less in October rill March next year where you can hardly earn any margins that's market standard. So we rather focus on a positive EBITDA contribution in the very last in the fourth quarter of the next financial year.
Claus Sauter: What I want to add here is that it is important now that we have a stable production in Nevada at about right now 50%, 60% of utilization. So the plan now for the summer is to go up to 80% and to have a stable production, especially with the RNG production it's important to develop the market. So that is our assumption for the next business year to have a slightly positive EBITDA contribution. Next question.
Unidentified Company Representative: Perfect. Many thanks. We've got a question coming from Konstantin Hesse Mr. Hesse you are able to unmute your device. So please go ahead as you can see that -- yes, here we go. It’s working.
Unidentified Analyst : Can you hear me?
Unidentified Company Representative: Yes, we can hear you perfectly.
Unidentified Analyst : Fantastic. All right. Thanks for taking my questions. Just a couple of questions. If you could elaborate a little bit on the recovery of the GHG quota prices, as you said you expected a recovery from March. We have seen a tiny recovery, but it seems to be you know far from relevant I mean, I think quotas were at 120 now it's at 133 so no significant movement there. How should we expect that move for the remainder of the year? And second question is on your balance sheet. I mean we're getting to a leverage level that is certainly quite higher at about €190 million now in net debt. And in terms of refinancing if you could just comment a little bit on the maturity profile here in addition to covenants, please?
Claus Sauter: Okay, I start with the greenhouse gas and on the financial -- just what I want to add here. This is a limit what we set up the €190 million. Right now we expect that we will be lower there, but about the covenants and the stuff Olaf will tell you. So the greenhouse gas recovery. Yes, it is true what we don't see at the moment it's a significant recovery, so we are working on that level. I think end of 2024 the German ministry of environment took some action to block Co2 savings from 2024. Not to be used in '25 and '26. But as we see -- and the reason why they did it was that the clear message was that the state wants that the quota prices are recovering. Unfortunately, we didn't have a minister the last five months six months, so that will be one of our top priorities now to go back to the government and tell them and say look what you did has no effect. The reason why you did it is that you wanted to see a recovery what is not coming. We all know why it is not coming because the fraud is still continuing, it is even more accelerating. So we made some proposals what has to be adjusted to bring the fraud down and fortunately now we have a new minister, he knows as I said already the situation here in East Germany. And I'm optimistic that we will get some fast adjustments done that now during 2025 we will see a significant recovery in the direction to €200. That will go really fast and I mentioned it during my presentation that the BLE is taking already action and we hear it everywhere from the market that it is not so easy anymore to get any kind of product into the EU. So it is getting better, but we are far not there where we want to be. So there are some adjustments necessary. Now we have a new minister. There is the clear message from the government that fraud prevention should be a key priority. So we expect now during the second half that we will see significant recovery what we've saw now is not a significant recovery. But our actual calculation and our actions is we have to take the market as it is, so we will continue but with the consequences what we mentioned we are adjusting our investments and we are also adjusting our operations, even if we have to continue with this low greenhouse gas prices through the months. Now Olaf have something about the covenants on our financing
Olaf Tröber: Yes, right. You already gave some keywords regarding the cost cutting and also the more slightly better performance of Nevada. So in that light the €190 million net debt is a figure that we would still feel comfortable. We are further back up liquidity undrawn credit lines and no half covenants. So the maximum is not driven by short-term funding needs, but by a prudent approach to capital structure. And also I'm confident that we will achieve a positive operating cash flow and as discussed during our last call we have some additional liquidity measures planned and potential to bring down also our working capital.
Unidentified Analyst : And can I just ask just on the -- so what kind of credit lines are available now at the moment, Olaf?
Olaf Tröber: Yes, I will not disclose the figure itself but it's well more than sufficient.
Unidentified Analyst : More than sufficient. So why would you need additional liquidity than instruments on top of that?
Claus Sauter: So, you know to discipline ourselves we gave up that limit 190. That is our own limit. So and we want to stay below and therefore we took the measurements what we mentioned.
Unidentified Analyst : Okay understood and then last question for every -- just as a reminder quick one, for every euro recovery and GHG certificates, what is the impact again on EBITDA, it's obviously one to one…
Olaf Tröber: €1 million.
Unidentified Analyst: €1 million. So it is very okay.
Olaf Tröber: Out of for a year on a yearly basis €1 recovery is one million results
Unidentified Analyst : Sounds good. Thank you.
Unidentified Company Representative: Yes. So for the moment, there are no further questions from a direct line, but there are further question. So we start with a [indiscernible] Research. Can you explain again…?
Claus Sauter: Okay, I can do it myself. Okay?
Unidentified Company Representative: Okay.
Claus Sauter: Sorry. So, can you explain again the main reason for the reduction in biodiesel production in Canada? How U.S. regulatory changes affected this? And -- now I don't see it -- and what was the tariff situation also an influencing factor? Okay. I explained this during our last call already. Just to make a long story short, it had nothing to do with tariffs had nothing to do with Mr. Trump. In the United States there was a so-called blender's tax credit. So each gallon of ethanol which was blended into the United States became one dollar per gallon of blender's tax credit. And already the Biden administration changed this regulation, it went from a blender's tax credit to a production tax credit. So when we produced in Canada biodiesel, it went into the U.S. It was blended there was $1 per gallon subsidy and even for the Canadian market that blended product went back to Canada. This is over since end of 2024. So now for Canadian production or any production which comes into the U.S for biodiesel, there is no more blender tax credit available anymore. There is a new system the so-called production tax credit. But for the -- and this is relevant for all U.S producers. But the problem is that nobody knows the details for the production tax credit in the United States. So that is a big problem for U.S. producers, because right now they don't know what's going on with the production tax credit. We as Verbio we stopped it, we stopped our Canadian production mid of December developed a market in Canada, we are right now mainly selling in Canada and restarted the plant in March 15. So first of all, we had to develop the market now we have the clients and now we are supplying directly Canadian clients, which makes absolutely sense. So has nothing to do with tariffs right now. We are not impacted by any tariffs. On the other side I mentioned it, we hope that this tariff discussion from the U.S., especially for ethanol will create benefits for us. By the way we have the production tax credits once they are there will be related on CI carbon intensity. So we expect that there's some contribution from the production tax credit on ethanol and also on renewable natural gas. Next question. What about the situation in India? What exactly is the development there? What will happen next? When will be the expansion take place? Are you still confident? Right now we have a due diligence process with Gail. I mentioned it, we signed an MOU Memorandum of Understanding. Gail is 51% or 52% Indian state owned they are in the gas business. We are dealing already with them for all the gas what we are injecting into the gas grid. And Gail wants to increase the amount of renewable natural gas plants there in India and they want to do it together with us. Right now we are in a due diligence process, there must be some improvements on the financials on the profitability, so here we are let's say confident that together with the State of India we will be able to roll out our technology there in India. We are still talking about 20 to 25 million tons of biomass every year which are burned. So that is cheap feedstock which must be somehow save from burning and that is our approach. But let's see what's coming the next month after the due diligence. Next question. Do you have a roundabout date or month in 2026, when the new facility will be finished and production can ramp up? So right now the planning is that the start of production should be at the end of 2026. So we expect -- so utilize our -- commissioning will start about 14 months from now and the first stable production from the new products we expect at the end of 2026. Okay. On your specialty chemistry investment. What is the remaining investment volume? When is the production ramp up scheduled? This I mentioned already when could a breakeven be achieved? Are volumes already committed pre-sold at the green premium? Yes, for some products we have already contracts, we will have three [indiscernible] C7 section and two more additional. So for some of the products we have already some contracts. And the remaining investment -- sorry, Olaf there you have to help me.
Olaf Tröber: It's approximately a €50 million euro spread over the next 1.5 years.
Claus Sauter: Yes, and what you have to also to take into account, you know, it is two investments. The first investment is ethanol using. So there it -- and this is in Germany in Bitterfeld the feedstock for ethanol use is rapeseed, Methyl ester. So it's the biodiesel it will go into the chemistry plant. Then we will have the no pro the new products. But to run that process we need the catalyst and the catalyst will be produced in Hungary, so that special catalyst what we need for that chemical process, it will be about 2,000 to 5,000 kg per year. This is the capacity of the catalyst plant in Hungary and investment in Hungary is about €20 million and the remaining investment in Germany should be something what you said €30 million to €40 million. That's the overall investment. Green premium. Yes, there is a green premium, otherwise if there is no green premium we would not need that certain product and we would be outsold. So there is a green premium. It's not huge. It's limited but it is in the expectations of our business case. Some products are very interesting, especially for the lubrication industry and on other products, we are still working to create the market. So some more. No, no more questions.
Unidentified Company Representative: Actually, there's still a question coming from [indiscernible] your line is still open so you can unmute your device.
Unidentified Analyst : Thanks. Just a quick follow-up on the balance sheet, Olaf. So from what I understand you say that the peak is going to be €190 million. We're saying that you expect that to improve next year? So peaking I'm looking over, you know a medium time, so peaking is that is that peak for '25 or are we talking about a peak and that you expect an improvement for peak from '26?
Claus Sauter: This is our general limit. We will not go above €190 million net debt. This is part of our let's say company targets.
Unidentified Analyst : Okay, and I think you mentioned, a, that you're currently working on a new financial instrument to basically give you additional liquidity. Are you considering equity for this or is it all debt related?
Claus Sauter: No, I do not know what you are talking about its…
Unidentified Analyst : No, I understood.
Claus Sauter: I think this is a misunderstanding. This is a misunderstanding. So, what Olaf meant was that, we had some possibilities to some businesses that we were able to generate liquidity, but this is business related. And we have now a bigger discipline on the working capital.
Unidentified Analyst : Okay, that is understood and then…
Claus Sauter: Less working capital also that other measurement and there we were, let's say organizing liquidity. Olaf, is this correct how I said it?
Olaf Tröber: Yes, it's overall it's actually focused on the short-term assets working capital inventories. Also other assets short-term assets and altogether, of course you have to bring in line your operational cash flow with the investment cash flow at least for the time being until we really see a sustainable market recovery.
Unidentified Analyst : Okay, So I'm just trying to piece everything together right as we go into the next financial year you basically have the U.S. ramp up helping you out on the profitability front you have a little bit better spreads compared to the beginning of the financial year. Who knows what's going to happen to GHG certificates at this point? So all that already translates to at least a double digit or mid to higher double digit EBITDA figure in my view. So, you add to that maybe some working capital inflow and additional CapEx cuts you expect potentially a break even to positive free cash flow next year?
Olaf Tröber: That's the goal, yes.
Claus Sauter: Very good summary. I could not do it better.
Unidentified Analyst : Thank you very much Claus. Thanks, Olaf.
Unidentified Company Representative: So we're going back to the chat question. There are two more. Mr. Sauter, do you want to read them out, otherwise I can read.
Claus Sauter: Yes. A question about your balance sheet your inventory has increased significantly by 46 million year-on-year, which is almost 19%. What is driving this increase and do you expect to maintain this high levels? Olaf it's your floor.
Olaf Tröber: Well I mean, it's -- you have to simply understand that you read work you generates greenhouse gas quotas from the first January onwards. So we increase also the stock of the current greenhouse gas quota which we are going to sell on a more regular basis. So that means of course that we increase our stocks slightly. But overall the aim is to reduce the inventory by selling -- which is actually not really needed for the production, it can be the biomethane, it can be greenhouse gas quotas whatever. So the aim is of course not to increase the inventory further and for the next financial year to even decrease the inventory from the 1st of July until the 30th June 2026. That's the aim.
Claus Sauter: Yes, so for sure we want to come back but especially now with the situation about the greenhouse gas quota stuff like this, yes, there was that increase but we want to come back Okay Next question on the Nevada plant ramp up? From my understanding the original plan was a full utilization summer of this year. Yes, that was the plan. The current communication appears more cautious which technical problems remain. When do you expect full utilization? Okay. Yes, the plan was this year full utilization. During fall last year we saw that we were not able to reach that target with our existing team in the U.S. so the decision was that my colleague Professor Oliver Lüdtke went on in October to the U.S. together with a very experienced team our best guys are right now working in Nevada. And to be honest, we didn't know why our U.S. team was not able to start up the plant. It's not the first plant what Verbio has, so we know that the technology works and that it is running. But technical issues or just lack of experience. Today we know that it is mainly lack of experience because the plant is running we have ethanol production therefore to come back to the previous question, you know, if you have now bigger production in the plant in Iowa and even in the plant in Indiana, then you also have higher working capital, but just besides. So yes, we were a little bit more cautious. But we come back now we say it works good plant is running stable there must be some small changes in the equipment. But nothing which will really lead to a further delay in operations so that we can come back and can say no technical problems it was lack of experience and we expect a full utilization at the end of this year. But then you know again winter is coming stuff like this, so the plan right now the clear plan is until to summer we want to be at 80% 90% utilization. And a full stable production reliable on full utilization where all the bottlenecks are done is expected for the next business year. Okay, no technical issues, it works. So I am waiting. Somebody is writing one more question. Do you have…?
Unidentified Company Representative: It's a question from [indiscernible]
Claus Sauter: Okay.
Unidentified Company Representative: No concerns about the very cold weather
Claus Sauter: Well, no, no more concerns. We were able to operate the plant during this winter and this winter was very hard very extreme weather, so we were able to run it through. But that is really -- that is the big difference to our German plant that you see regularly temperatures in Iowa during the winter time at minus 30 degrees Celsius. And we are dealing with a lot of water the whole process biomethane production and also ethanol production is very much linked to water consumption. So yes, we have to be prepared now immediately during fall for the new winter time that we will be able to continue production. So there were concerns about very cold weather, but we managed it Okay. So then I think if there are no further questions
Unidentified Company Representative: Exactly and also running a little bit out of time. So I would like to come to an end at this point of the call and I would say to thank for -- many thanks for your insightful question and a big thank you to you. Mr. Sauter and Mr. Tröber and to all participants, we appreciate your time and interest in Verbio and we would be really grateful if you would share your feedback with Verbio and also with our research team and for this reason you will find short email in your inbox. So I'd like to have to say have a great day and we're looking forward to seeing you at one of our next events. And with this I would say goodbye, but I also like to hand over for some final statements to you.
Claus Sauter: Okay, thank you Harry, thank you Olaf, thank you everybody who was participating that call. We are in challenging times. We mentioned it, but fortunately now we have -- we have a working government back with new -- especially for us new minister of environment and the job now for us all is to bring back as I said in my speech, fair business relationships. There are small things which need to be adjusted in the existing regulation. The existing regulation is good, we have ambitious targets of growth in the biofuel sector. And I would also say biofuel as a solution to decarbonize transport is back. Our former Ministry of Environment there was electricity only, so it's back biofuel are the biggest contributor of decarbonization in transport right now and it is back. As now I even don't remember when it was mentioned in the program of the new government, so explicitly so I'm very positive that it will come back. But now the world begins we have to get into contact with the government with the new minister and try to adjust the small pieces and then I think there will be very very fast a recovery in the quotas. Anyway, we must be careful how will be the continuous program, but right now I see more light at the end of the channel than many many years before. So thank you very much for everybody participating and looking forward for our next call presenting in September our figures for the whole business year. Have a nice afternoon and thank you very much for participating. Goodbye.